Operator: Good day, and welcome to the TrueCar, Inc. fourth quarter 2024 financial results conference call. Please note this event is being recorded. I would now like to turn the conference over to Jantoon Reigersman, President and Chief Executive Officer of TrueCar, Inc. Please go ahead.
Jantoon Reigersman: Thank you, operator. Hello, everyone, and welcome to the TrueCar, Inc.'s fourth quarter 2024 earnings conference call. Joining me today is Oliver Foley, our Chief Financial Officer. I hope you have all had the opportunity to read our most recent stakeholder letter, which was released yesterday after market close and is available on our investor relations website at ir.truecar.com. Before we get started, I need to read our exciting safe harbor. I want to remind you we will be making forward-looking statements on this call, including statements regarding our revenue growth, expected adjusted EBITDA, and free cash flow, as well as aspirational goals regarding 2026 revenue and free cash flow margins. Forward-looking statements can be identified by the use of words such as believe, expect, plan, target, anticipate, begun, seek, will, intent, confident, and similar expressions, and are not and should not be relied on as guarantees of future performance or results. Actual results could differ materially from those contemplated by our forward-looking statements. We caution you to review the risk factor section of our annual report on Form 10-K, our quarterly reports on Form 10-Q, and our other reports and filings with the Securities and Exchange Commission for a discussion of all the factors that could cause our results to differ materially.
Jantoon Reigersman: The forward-looking statements we make on this call are based on the information available to us as of today's date, and we disclaim any obligation to update any forward-looking statements except as required by law. In addition, we will also discuss certain GAAP and non-GAAP financial measures. Reconciliation of all non-GAAP measures to the most directly comparable GAAP measures are set forth in the investor relations section of our website at ir.truecar.com. The non-GAAP financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP. With that, let us begin. With 2024 behind us and a new year in full swing, it is important for us to pause and reflect on the exciting journey we are on. A journey we embarked on in the summer of 2023 when we started to restart the company and committed to building a stronger and more resilient TrueCar, Inc. Taking stock of where we are relative to where we were and where we are expected to be allows us to evaluate what is working and not working and adjust course accordingly. To that end, let us start with a year-over-year comparison of our 2024 financial performance and operational KPIs. Revenue of $175.6 million grew by $16.9 million or 10.6% year-over-year, the strongest annual revenue growth since 2017. Adjusted EBITDA of $1.6 million grew by $15.43 million year-over-year. Cash flow from operations of $7.7 million represents a year-over-year improvement of $30.1 million. Free cash flow of negative $0.2 million represents a year-over-year improvement of $34.1 million. Total unit sales of 356,000 increased by 37,300 or 11.7% year-over-year. New vehicle unit sales of 204,000 increased by 27,500 or 15.6% year-over-year. Franchise dealer count grew by 119 dealers, ending the year at 8,351, a 1.4% year-over-year increase. With the launch of TC Plus, we began the first and only digital marketplace to enable the purchase and sale of new, used, and certified pre-owned vehicles through an entirely online transaction. The rollout of TrueCar, Inc.'s twelve-month dealer service program and we repurchased a total of 6.1 million shares of TrueCar, Inc. stock. Moreover, we finished the year with momentum and strength across many of the areas in the business as highlighted by several of the Q4 performance metrics. Revenue of $46.2 million, an increase of 11.9% year-over-year with positive adjusted EBITDA of $0.4 million and cash flow from operations of $5.9 million and free cash flow of $4.1 million, an increase of $12.2 million year-over-year. Our ending rooftop balance was three rooftops higher than the prior year, marking the first year of rooftop growth since 2019. Total units of 93,000 increased by 22% year-over-year, and new units of 58,000 increased by 27.8% year-over-year. In summary, we finished the year by delivering yet another quarter of double-digit revenue growth and positive adjusted EBITDA, achieving our goal of generating positive free cash flow in Q4. Moreover, the intense focus we placed during the year on efficiently growing new unit sales and capturing a greater share of new car shoppers showed tremendous results in Q4 as we delivered 27.8% new unit growth in the quarter year-over-year, significantly higher than the industry's 9.6% growth. As such, in Q4 2024, the average franchise dealer on TrueCar, Inc. sold new vehicle sales generated through our marketplace grew by 27.1% versus the same period last year, reaching the highest level since Q3 2021. We also continued making progress on TC Plus during Q4. As we articulated last quarter, our Q4 focus for TC Plus was to, one, expand the TC Plus purchasing experience to consumers shopping on select affinity partner sites, two, integrate AI-powered fraud protection prevention tools into the buying process to more effectively detect and mitigate the risk of consumer fraud, and three, deepen our integration with select dealer management systems, also called DMS, providers in order to further automate and streamline the buying process for dealers. During Q4, we introduced TC Plus on several of our affinity partner sites and made further upper funnel optimizations that have contributed to a nearly 50% increase in the average number of consumers initiating the TC Plus purchase experience each month, a similar increase in transaction volume. With the work to enhance fraud detection recently completed, we expect to enable TC Plus on additional partner sites in Q1 while maintaining a focused and controlled approach to expand consumer access to TC Plus that allows us to test and iterate. Furthermore, we expect that expanding access to TC Plus will be done in tandem with expanding the TC Plus pilot to additional dealers. We plan to prioritize upon the completion of the work we began in Q4 to deepen our DMS integrations. 2024 was a year of great progress for TrueCar, Inc. with nearly every measure of performance improving from the prior year and several long-term growth initiatives being brought to market. We are proud of what the team has accomplished in the year, and we are even more hungry to accelerate our progress in 2025. We firmly believe that the quality of our assets and the unique competitive strengths should yield sustainable annual revenue growth of 20% plus in a normalized new vehicle retail environment. To unlock that growth opportunity, we must stay committed to the following building blocks we have previously outlined, simultaneously strengthening our execution against them. One, continue activating new franchise dealers. Two, minimize dealer churn. Three, grow revenue per dealer. And four, continue expanding our OEM business. The expansion and commercialization of TC Plus continues to be a top priority for TrueCar, Inc. in 2025. Following the completion of the work currently underway to deepen our integration with the DMS providers and automate nearly every step of the selling process for dealers, we anticipate rapidly expanding the pilot to additional dealers and territories. In conjunction with adding dealers and inventory to the program, we intend to make the TC Plus experience more broadly available to consumers shopping on our branded and affinity partner sites. Lastly, and as we discussed last quarter, we made significant investments during the second half of 2024 to enhance our data platform to enable the rapid development and deployment of our new generative AI and machine learning models that enrich the consumer shopping experience and provide dealers with value-enhancing features and insights. In partnership with AWS, TrueCar, Inc. has established a real-time ML through which we can quickly build and deploy modular, continuous, and traceable AI ML models that leverage our rich first-party datasets. In Q1 of 2025, we launched the first of these models, which classifies consumer leads based on their propensity to purchase with a high degree of accuracy. We foresee a number of ways this predictive model can be leveraged across a range of uses, such as powering marketing campaign optimizations and providing dealers with enhanced consumer insights that further improve lead conversion rates. With these enhanced capabilities, we expect to be able to retain more shoppers on the site and effectively retarget them through tailored email engagement that will ultimately allow us to capture a greater share of car buyers and drive high-quality leads to our dealer network. As such, leveraging these recent investments in our data platform and prioritizing high-impact use cases like the ones described above is a top priority of ours in 2025, and we believe can unlock significant value that can further accelerate the growth of our core business. Turning now to our outlook for 2025. Our expectations for the business this year are rooted in our belief that we are a much stronger organization today than at this point last year. Not only is the value we are delivering for our customers stronger than it has been in years, but we are even more focused and determined to execute against the building blocks that we believe will enable us to achieve our targets of 20% plus year-over-year revenue growth. However, unlocking this growth potential not only requires strong execution but a willingness to make key investments that will accelerate the growth of our dealer network, unit sales, and OEM partnerships, and deepen the penetration of our expanded product offering. The primary investments we are making in Q1 are the additional headcount on our dealer sales and service teams, which we expect will enable us to grow our dealer network by accelerating the pace at which we add new dealers and strengthening our ability to effectively retain them through our best-in-class service, as well as the expansion of some of our marketing efforts. With strong management processes in place, we are confident that this investment will yield a strong ROI in 2025, maximizing our ability to deliver accelerated year-over-year revenue growth in the second half of the year while also delivering fully adjusted EBITDA profitability and breakeven free cash flow. However, given the ramp time associated with these headcount additions, as well as the near-term impact to OEM revenue associated with the transition in incentives of American Express and also new affinity partners, we expect modest Q1 revenue growth in the high single digits and negative adjusted EBITDA of approximately $5 million. That said, our outlook for growing OEM and incentive revenue in addition to core dealer revenue in Q2 to Q4 remains strong due in part to the recent enablement of Mercedes incentives to validate AAA members nationwide, a program we are optimistic about with early performance tracking in line with what we observed when we launched our former partnership with American Express. We are also actively working to expand this program by bringing additional OEM partners on board. Given the strength of these partnerships and the momentum we are building by investing in headcount, we expect to reaccelerate. We firmly believe that the opportunity before us warrants the near-term investments and will enable us to deliver the strongest growth outcome for the business in 2025. Moreover, we maintain our ambitious targets to return the business to an annual revenue run rate of $300 million and a 10% free cash flow margin by the end of 2026. Maintaining this target is rooted in our belief that our growth rate exiting 2025 can have us on the trajectory required to achieve these marks. Now, operator, let's open the call up for questions from our analysts.
Operator: Thank you. We will now begin the question and answer session. To ask a question, you may press star then one on your touch-tone phone. If you are using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, please press star then two. The first question comes from Rajat Gupta from JPMorgan. Please go ahead.
Rajat Gupta: Great. Thanks for taking the question. I had one question just on the first quarter guidance and the step-up in expenses. Could you elaborate a bit more on what specific areas you are targeting? I know you mentioned it seems like it is more sales and marketing related, but is there also some technology-related spending that is picking up? And what is giving you the confidence or maybe what are you seeing in terms of just line of sight that is going to immediately help accelerate revenue growth in the second half of the year? And I have a quick follow-up. Thanks.
Jantoon Reigersman: Yeah. Absolutely. Let me start, and Oliver, you can add to that. I think there are a couple of things. So predominantly, it is boots on the ground. So we see the need, the help the dealers need, and our ability to have boots on the ground, knock on the doors, really provide them with the help we can provide them to sell more cars is something that we are very good at and that the sales team has proven to be very efficient at. And so it is really a focus on making sure we can drive the sales on that side, and that just requires more headcount. Number one. Number two, on the marketing side, we have become much more efficient. On the marketing side, we continue to become more efficient. We are more focused, and so we also feel that it warrants further investments. Historically, we have probably taken a little bit too much oxygen out of the room and would like to start deploying more, and we feel that the market is really having some element of a turning point where we can lean in more because we know that on the core dealer side, we have a really good market fit. We just want to keep pushing that. There are some models and technology advancements that we are making, obviously, on the Gen AI side and the collaborations we are doing there as well. But those are smaller compared to the headcount charge and the marketing side. Oliver, I do not know whether there is anything you want to add there.
Oliver Foley: Yeah, the only thing I would add is, you know, obviously, Q1 is seasonally a quarter with higher specifically payroll-related expenses. But when we think about those, you know, the increases driven by near-term investments, it is almost entirely at dealer sales and dealer service headcount. And the reason we feel confident investing in those two areas is because, you know, we restructured the sales and service team at the end of 2023. Brought in new management, we created new processes, and we really focused on how we can drive sales productivity. And over the course of the year, we really saw strong improvements in, you know, the dealer sales team's productivity across the board, really every measure. And Q4 was a really strong quarter in that regard, and so we feel like, you know, we have got the team in place or the management in place, the processes are much stronger than they have been in the past. And right now, it is just a matter of having the right regional coverage across all of our territories to make sure we are tapping into all the inactive dealers out there today. And then secondly, on the dealer service side, you know, it was in Q2, we launched the twelve-month service plan. And our hypothesis there was that we can be highly consultative with our dealers. And every month, sort of work with them on driving or maximizing their performance on the platform, the hypothesis was that we would see significant decrease in churn. And you know, in the fourth quarter, we really started to see the results of that, and so it validated that hypothesis in many ways, and so we believe that expanding the size of that team so that all dealers can get that consultation every month. Ultimately, that is what is going to drive churn down to our long-term target in 2025. So that is why we feel confident investing in both those sides of the business.
Rajat Gupta: Got it. Got it. That is helpful color. I mean, maybe, just wanted to follow-up on the DMS integration with TrueCar Plus. Could you give us some more details on that? In terms of what are the steps that are involved in that integration? What phase are you in in terms of integration? Is the DMS plus TrueCar Plus platform live already? Where are we in that process and when do you expect it to really start to contribute more meaningfully not just in terms of additions, but just in terms of monetization as well?
Jantoon Reigersman: Yeah. So the answer to that on the DMS side is relatively straightforward. There are obviously several DMS providers in the country. One of them is obviously very large. And so we are integrating with them initially, which is CDK. And so the idea is historically, dealers have not been able to modify the paperwork as easily. And obviously, in this online transaction, we want to be able to have a flow where the dealers really only need to just approve and do not need to do any further work on the documentation because everything has already been pre-calculated and is already in perfect. And so in order for that to happen, you need to be obviously on the roadmap. It takes some time. There are iterations. There are always certain bugs that are inside. And so as we continue that work, it is a matter of having both organizations being aligned. In the interim, we are also integrating with other DMS providers where these integrations are probably a little bit easier because these are built for a little bit more futuristic architecture as opposed to some of the longer-term DMS providers who have historically been built effectively on a different type of ledgers. So all in all, it is really a matter of keep pushing this in terms of the roadmap of all the various third parties. And we are already fully transacting now. It is just really the difference is you sometimes if there is a consumer in the last minute wants to change something, it requires the dealer to still go in manually at times to finalize some components of the paperwork, and we want to make sure that that is fully automated. So there is really no burden on the dealer, and that is obviously a really important requirement as we start scaling because the more and further we scale, the fewer we want it to be a manual task for the dealers. So that was really the trade-off we were making, which is we know we have a lot of dealers that would love to be on the program. We obviously want them to be on the program, but we want to make it as little manual as possible for them. And given we are so near to finalizing these different pieces, we really want to do that sequentially. And then in terms of financial contribution of TC Plus, remember that a lot of this will be part of, obviously, of the subscription services of the dealer. So as soon as we start ramping and having bigger volumes, then over time, you can start seeing this. I think this will become more meaningful obviously, next year. This year, it is really about improving units, unit volume, improving experience, becoming a larger size of the overall revenue of the individual dealers that are on and then expanding inventory and dealers on it. And it is really the monetization should then follow next year in terms of real contribution.
Rajat Gupta: Got it. Got it. That is helpful. Thanks for the color, and good luck.
Operator: The next question comes from Naved Khan from B. Riley Securities. Please go ahead.
Ryan Pfingst: Hi. Great. Good morning. Thanks for taking my question. This is Ryan Pfingst on for Naved Khan. So first, I wanted to ask about over the past two years, franchise dealers have been trending up, whereas independent dealers have seen greater churn. Was wondering if we should expect this trend to continue into 2025. And then also how the twelve-month dealer service program should impact each group. And then also, just want some more color on the total opportunity for adding new affinity partners. Thank you.
Jantoon Reigersman: Yeah. So let me start, and then Oliver can jump in. So the answer is, yeah, obviously, we skew more new and we skew more franchise compared to many of our competitors. So that has been a focus of ours and will remain a focus of ours. Obviously, driving franchise activation is a really important business driver for us. Right? It is the first building block that I articulated earlier. And then on the churn side, similarly, franchise is obviously an important driver, but so are independents. But I think what is really important is to understand that not every independent is equal. So we have very large independent customers who are really valuable and important customers of ours, but we also have a very large long tail of much smaller independents. And smaller independents obviously struggle much more in a high-interest rate environment and in an environment where used car prices are still very, very high, and so it is hard for them to get inventory. It is hard for them to finance inventory. It is hard for them to get the right clients on their lots, and those are often smaller dealerships that do not even run, like, back-end ERP systems, etcetera. So the churn on the independent side if you look at the broader numbers, it is always a little bit misleading because you sure, like right? Like, there is churn happening, but as long as it happens on the long tail, it is not as impactful and it is not as important. What we really are focused on is obviously our big clients across the board. And that same applies to our twelve-month service cycle. So what happens is we are obviously very focused on the franchises and the larger independents. We have created a separate program for small independents where it is a little bit of a lighter touchpoint. It obviously, there is an important consideration of ROI. One of the reasons why we are obviously investing also in, frankly, in sales and service people because it is really important when you do service to do it in person, to spend the time to really work with your clients. And we have seen that has tremendous impact mitigating the churn, but also adding dealers on. So we feel that the opportunity is ripe for us to do further investments there. So over time, you should see the churn rates come down even though on the independent side, probably as the current macro persists, they will probably stay somewhat elevated for the time being, but that is all in the long tail at the end of the day. And so what we really focus on is obviously the dealers are bringing the highest revenue per dealer. And then remind me what your last question was on the affinity side.
Ryan Pfingst: Yeah. Just how you are sizing, you know, the entire kind of opportunity there with adding new partners.
Jantoon Reigersman: Yeah. I think the affinity side is huge. Right? And we have proven a very efficient product market fit on that side of the business. And it is really the triangulation or I should actually say that, yeah, triangulation to four parties, which is the affinity parties, the OEMs, the dealers, and us. And so if you do that well, we always obviously run very efficient programs, and we are clearly one of the few that run that in the marketplace. Or at the very least, run it so effectively. We think that there are a lot of affinity partners that we can add further onto the platform. It is a really big priority of ours. But we also want to do that while obviously providing little return and attractive platform for the affinity partners that we have. But we think that this is a place where we can scale a lot and obviously, if you look at our units even, it is obviously also a really important source of our broader traffic, and those are often highly intent buyers in the flow. So not only from a core perspective, are they really important, but also long term from a TC Plus perspective, they are very attractive consumers for us. And then the other thing that also becomes very interesting in the TC Plus world in the future is the opportunity that you can really start adding more value-added services, especially to affinities that are membership-based, where you can start thinking about ownership of the car and long-term opportunities around that too, retargeting opportunities, etcetera. So affinity OEM side is an important driver for us across the board. In the core side and long term also on the TC Plus side.
Ryan Pfingst: Thanks, Jantoon. Super helpful.
Operator: The next question comes from Ryan Myers from Lake Capital Markets. Please go ahead.
Ryan Myers: Hey, guys. Thanks for taking my question. Just wanted to get some more color on the EBITDA guide for Q1. So does that include any sort of an impact from the wholesale business that obviously has kind of weighed on the gross margin in the past couple of quarters? Or do you expect to see gross margins rebound in Q1 and most of that is just going to be coming on the headcount that you guys are adding?
Oliver Foley: Yeah. We do not expect wholesale to have any significant impact on Q1. That is not really a growth driver of ours. And so when you think about gross margin, what has dragged it down in the last couple of quarters was in part wholesale, but I would say just as much it is TrueCar Marketing Solutions. TrueCar Marketing Solutions, the marketing dollars that we deploy for those campaigns get captured in cost of revenue. But when you think about operating contribution, it is actually fairly comparable to the core auto buying program. So as we think about the trend in gross margin, it is really going to be driven by the makeup of our total revenue. So as OEM revenue starts to accelerate, that benefits gross margin. If TCNS or TrueCar Marketing Solutions were to grow substantially over the next couple of quarters, that could in theory bring down our gross margin, but you would expect operating contribution to be materially the same as it would be if it was the core dealer business that was driving that growth. Looking in Q1, really, what is impacting that guide is really just it is the seasonal nature of payroll-related costs being higher in Q1. And then the incremental sales and service headcount, which it just takes time to ramp those hires up. But effective dealer salespeople have a pretty quick payback period. So that is why our expectation is that you start to see the reacceleration of revenue growth in Q2.
Ryan Myers: Okay. Got it. And then, primarily, just the biggest thing that is in the first quarter revenue was just the loss of American Express. And then, obviously, with the hires in the remaining quarters, and then, you know, you called out the Mercedes business on AAA. We should reaccelerate. But, really, the biggest driver of the growth rate in the first quarter is just the loss of the American Express platform.
Oliver Foley: That is correct. Yeah. It is like any other OEM program. When you introduce it to a new affinity partner, it takes time for that to ramp up. And it just requires marketing it to that membership audience, making them aware of it, and over time, it starts to build steam. And that is what we saw with American Express. It sort of had a pretty gradual build, but then accelerated fairly quickly after a few months. So Q1 is we are sort of bridging that gap with the loss of American Express.
Ryan Myers: Okay. Got it. Thanks, guys.
Operator: The next question comes from Tom White from DA Davidson. Please go ahead.
Tom White: Great. Good morning. Thanks for taking my questions. Two if I could. I guess the first one is just sort of a high-level one on kind of your discussions with dealers. It seems like dealerships are all kind of dealing with this profit normalization kind of evolution, you know, after a few years of outsized profitability for dealerships. So it would seem that maybe, you know, some are looking to cut some tech and marketing budgets kind of in the face of that. But then on the other hand, you know, maybe they arguably need platforms like yours more so than ever, you know, to kind of get to incremental consumer demand. So just kind of curious, like, how your discussions with dealers are going kind of and how you, you know, kind of navigate those two sort of different forces. I mean, I have a follow-up. Thanks.
Jantoon Reigersman: Yeah. Good question. And the answer is you are spot on. And I think there is an added nuance there that it really depends also on the size of the dealership and the level of sophistication of the dealerships. So, right, plenty of dealers right now think okay. Let us go back on any of the marketing services effectively and then, right, put more to Google. Very quickly, they learn that as they do that and deploy more in Google, that Google only shows like, their total two or three percent of their inventory and the other ninety-seven or ninety-eight percent does not get any views. And so very quickly, then they end up with aging inventory, and then they call back and say, oh, we have a problem. So it is also the reason why we have redesigned the service program to this twelve-month program that Oliver was referring to that we started in Q2. And that is really much more of a direct engagement where you like, every dealer has its own subset of issues because it depends on whether you are by coastal, depends on whether you are in the middle of the country, depends on whether you are in a larger city or smaller city. And so everybody has their own nuances. But also do not forget that there is another really important drive for the people under. So yes, the dealer has to kind of readjust to the margin compression as it were. But also, dealers often are struggling with the sales team that frankly, had a really good life over the last couple of years and now have to go back to actual, like, hard selling. And many of their sales team do not know or do not remember actually how to properly sell the way they had to and used to. And so helping the dealerships with training of their staff, of providing them insights with the tools and providing them insights with all the different tools that we have allows the dealers to be much more efficient. And that even goes as simple as right? We have dealers where they are not actually selling as much, and then we go and look into the system, and we have a person inside the dealership. And they actually look at how they are pricing. And if they were to price the car at fifty or a hundred bucks in a different direction, that actually immediately the amount of leads expands disproportionately. And so in some way, they are selling many more cars just because they are much more active and thoughtful in the way they are actually setting their prices and then engaging with those leads. So there is a lot of training associated with this, which is why we are doing more of the servicing as we in that program. That is really the tension that there is. And it is really on us to make sure that we show the value we provide to them. So becoming more sophisticated in a way we articulate that and show them the reports of how they can improve is a very important part of our servicing efforts.
Tom White: Okay. That is interesting. Thank you. And then just one last one on kind of the OEM and revenue line. And I am just curious whether, you know, as you think about, like, the multiyear runway, is there any reason like, sort of structural reason why you would not be able to make kind of meaningful strides, kind of getting that revenue line back to kind of where it was pre-pandemic levels? Or, you know, is there any risk that, you know, in the years since you had a more meaningful revenue base there that, you know, there has been some kind of change in the way OEMs either approach the channel or, you know, they have shifted budgets elsewhere when it comes to kind of, you know, digital marketing in this way. I realize it is not exactly a digital marketing kind of type ad budget necessarily, but, you know, just curious, like, when you are thinking about that $300 million annualized, like, on a longer-term target, like, how realistic is it that, you know, this is going to be a big driver of it.
Jantoon Reigersman: Yeah. I think it is. I think there is plenty of opportunity, and I think we should be able to grow beyond to what it used to be. I think we prove to the OEMs our effectiveness. I also agree with you that, obviously, because they historically have pulled back budgets from, frankly, every program, they kind of need to normalize to reallocate. And I think we did a good job in the letter trying to explain how to think about the OEM incentives. Right? We would really if you oversimplified a little bit, there are effectively two tools that the OEMs have which is financing or captive incentives. Right? So, like, what is the offer they give you from the effectively from the lending side to make the car more attractive. And then the other one is, like, the cash on the hood type incentives. And if you actually look at the captive financing side, which is the easiest lever for them to pull, is the one that has now pretty much normalized to how it was pre-pandemic. And so we are expecting that now the cash on the hood component is the next one to come, and this will be especially prevailing in a world where right? Like, lots will start getting fuller and fuller, and dealers need to obviously move their cars because otherwise, they have real floor plan financing issues. And so net-net is I think this will be a growing factor and will continue to grow. And in a macro where dealers will have a hard time selling cars, especially with affordability, these are programs that are very, very effective and do not impact the residual value of the cars, which obviously for the OEMs is really important. So I am very bullish on this area.
Oliver Foley: And the only thing I would add there is, like, I think the relevance of our OEM incentive offering is going to be stronger than it has ever been for the reason Jantoon just mentioned, which is our ability to offer private targeted incentives protects the OEMs' residual value. And what we have seen over the past two years is that way more new car loans originated by the captive arms and way more new car sales were leased. And so the captives effectively have these loan books that are very susceptible to declining residual values. And so I think they are going to be very cautious when it comes to offering broad cash on the hood promotions or discounts because that could directly impact, you know, their loan to values. And so going forward, I think their ability to incentivize demand with discounts and cash rebates, but do it in a way that protects residual values is going to be more important over the next couple of years than I think it has ever been. And so I think that should favor the product that we offer them.
Tom White: Great. Very interesting. Thank you.
Operator: The next question comes from Marvin Fong from BTIG. Please go ahead.
Marvin Fong: Great. Thanks for taking my questions. I know we have talked a lot about OEM here. I guess to be a little more clear here, you know, obviously, you highlighted Mercedes and there are other partners, you know, potentially could join that AAA program. So, you know, should we I know you also mentioned reacceleration in the second quarter, but, you know, by sometime this year, should we expect that you will fully recapture the lost American Express business? I just want to be clear on that. And then maybe a second question, just love to kind of hear about from the dealer side, you know, coming out of NADA, and whatnot, you know, just what is the pipeline in terms of dealers that you have for TC Plus? Are you pretty much, you know, have a pipeline of dealers ready to go once you do roll out into new regions? Maybe just kind of talk about that aspect of TC Plus. Thanks.
Jantoon Reigersman: Yeah. So I think the first on the first, the answer is yes. And I think really Q1 is the only one where you have a little bit of shift. And I think in Q2, we should already start seeing that acceleration. So I think that is number one. On the TC Plus pieces, yes, we have dealers ready. We actually have dealers ready in many different states that would love to that they put their hands up and would love to participate. We obviously want to do this relatively focused, so we will first do more dealers in California, and then we will start expanding in other states. The two states that are highly likely to follow afterwards are going to be Florida and Texas purely because of the density of dealers that we have involved in both these states as well as obviously, the car buying audience that exists in both states. And so net-net is focused on California first. Yes, we have a pipeline ready, but we want to make sure that these experiences are really good. It also requires, obviously, a little bit of a different mindset at the dealerships themselves. It requires some level of training, etcetera. So we want to do this in a structured manner, but the answer is yes. We have plenty of dealers that are really excited. And then also, obviously, we continue to work with really important partners of ours that include, right, the dealer associations, the OEMs, etcetera. So as we scale this, we also want to make sure we take all our stakeholders along because we feel we have a very unique position in the market with TC Plus and the products we deliver. And so yeah, so we are very excited that as we make continuous progress on the product, we can start accelerating this and start accelerating this faster and faster and soon make it much more impactful because I know we have been talking about it a lot, but I think this is a huge opportunity for us. But we are now on the final legs of really improving those experiences.
Marvin Fong: Great. Thanks so much, Jantoon.
Operator: The next question comes from Chris Pierce from Needham. Please go ahead.
Chris Pierce: Hey. Good morning. I just wanted to go back to the first question and the consultative approach. I guess I just want to understand you are sending a dealer a lead in like, where is sort of the ball being dropped, or why do you need to kind of help them massage that lead into a sale? I just I kind of always want to understand what kind of what is happening and what you are doing to kind of drive that conversion higher.
Jantoon Reigersman: Oh, I mean, I should have my service team on the call because I would love to spend a couple of hours talking through this. Like, the short answer is a couple of things. One is it starts with the way you effectively position your own dealership on the marketplace. Right? So and but, like, the price curve is a great example. Right? Whether you have an excellent price or a good price or an average price of your car, making sure that you have active pricing on the platform, especially as prices change very quickly and swiftly in the marketplace, is one example of something that is very simple. Like, there are some dealers that do not really log in to the systems very often. Often as a result in a pricing changing world, their prices might become uncompetitive unknowingly to the dealer. And as a result, they might have pretty dramatic drops in their lead generation because, frankly, they are pricing themselves out of the market. Not because they do that intentionally, but because they had not logged into the system recently. As an example. So the active engagement with the tools is really important. And then also the other piece is then the way you nurture their lead. And you would be surprised to know that, like, if you are the head of sales or you are the GM of the dealership, you obviously have a lot of salespeople but you also have a lot of salespeople turnover. And so training these people and making sure that these people are really good at how they nurture these leads and what they do with them, etcetera, is something that not always happens the right way at many of the dealers. And so our trainers coming in to help their sales folks effectively get to know the best in class of how to nurture a lead, how to bring in, how to prioritize leads, like, what works and what does not work, is really important. So then added to that is, for example, those new tools that we were describing where we are even, like, now with the AI tools determining right, the propensity of a lead to close or not to close. And so now you can also start prioritizing that within the dealership and then who does what and how does that work. So there is a lot that comes to actually selling a car. And the more we help the dealers, the stickier we are and would be surprised that it is relatively low-hanging fruit for us to help them because very often, it is very simple things where if you do those things well, they have a dramatic impact on the close rates of these leads that we provide.
Chris Pierce: Okay. Thanks for the detail there. Perfect. And then on TCMS, was revenue down sequentially, or is it too early to kind of gauge what is really going on there? I just kind of want to get a better understanding of, you know, that product as you roll it out.
Oliver Foley: Yeah. You want to add, Oliver, do you want me to take that or you want to take it? Go ahead. Let me take a stab at it. So quarter over quarter, it was down slightly. And largely because we really focused Q4 on streamlining the offering. Right? So it is still sort of a suite of digital marketing products, but we really wanted to streamline the offering and simplify it in part because it is easier for dealers to understand and it is easier for the sales team to sort of communicate the benefits of TCMS. So we really brought in some leadership on the TrueCar Marketing Solutions side and started to sort of build out the right team on that side. So I think Q4 was really about do we strengthen our go-to-market muscle with TCMS. And let us create a stronger foundation going into Q1. And so yes, it was a sequential decline, but I think it was sort of strengthening the go-to-market muscle so that, you know, in 2025, it will be a big growth driver of ours.
Chris Pierce: Okay. And is there a way to sort of quantify some sort of upper bound? Like, what are we talking about in terms of growth, whether in terms of absolute revenue or revenue growth? Like, what is the right way to think about the trajectory of this over the year, next couple of years, etcetera?
Oliver Foley: On that end, I would say it is a little early to tell. We are incredibly optimistic about it just because, you know, the amount that franchise dealers spend on digital marketing off of the And, you know, is astronomical. Right? And so there is a huge addressable market there for us that allows us to capture parts of their budget that, you know, that are not going to third-party listing sites, but are going to, you know, Google or Meta. And so, you know, our belief is that it could be, you know, a very sizable component of our overall revenue. It is a little early for us to predict, you know, what percent that might be. So, hopefully, we will have a much better sense for that over the next couple of quarters.
Chris Pierce: Okay. Great. I appreciate the time. Thanks.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Jantoon for closing remarks.
Jantoon Reigersman: Great. I would like to thank everybody for taking the time to participate in our call today. I also want to thank the team for all their continued efforts. We are more focused and more disciplined than we have ever been, and so with gratitude, thank you. And look forward to the next call.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.